Operator: Good morning, ladies and gentlemen, and welcome to BlackSky Technologies Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this conference call is being recorded. I would now like to turn the call over to Aly Bonilla, BlackSky's Vice President of Investor Relations. Please go ahead, Aly.
Aly Bonilla: Good morning, and thank you for joining us. Today, I'm joined by our Chief Executive Officer, Brian O'Toole; and our Chief Financial Officer, Henry Dubois. On today's call, Brian will provide some highlights on the quarter and give a strategic update on the business. Henry will then review the company's financial results and outlook for 2025. Following our prepared remarks, we will open the line for your questions. A replay of this conference call will be available from approximately 12:30 p.m. Eastern time today through November 13th. Information to access the replay can be found in today's press release. Additionally, a webcast of this earnings call will be available in the investor relations section of our website at www.blacksky.com. In conjunction with today's call, we have posted a quarterly earnings presentation on the Investor Relations website that you may use to follow along with our prepared remarks. Before we begin, let me remind you that certain statements made during today's conference call regarding our future plans, objectives, and expected performance, including our financial guidance for 2025, are forward-looking statements. Actual results may differ materially as these statements are based on our current expectations as of today and are subject to risks and uncertainties, including those stated in our Form 10-K. We encourage you to review our press release, Form 10-K, and other recent SEC filings for a full discussion of the risks and uncertainties that pertain to these statements and that may affect future results or the market price of our stock. BlackSky assumes no obligation to update forward-looking statements except as may be required by applicable law. In addition, during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA and cash operating expenses. The reconciliation of these non-GAAP financial measures to their most comparable GAAP measures are included in today's accompanying presentation, which can be viewed and downloaded from our Investor Relations website. At this point, I'll turn the call over to Brian O'Toole. Brian?
Brian O’Toole: Thanks, Aly, and good morning, everyone. Thank you for joining us on today's call. Beginning with Slide 3, I'm pleased with the strong momentum in the business as the success of Gen-3 is delivering best-in-class imagery and analytics and driving significant demand toward unlocking our next phase of growth. We are gaining customer traction, growing our pipeline, and building backlog for both our imagery and analytics services and for Gen-3 powered sovereign solutions. Customers around the world are recognizing Gen-3's superior performance, especially at a time when they are seeking to accelerate their sovereign space based intelligence capabilities. BlackSky is well positioned to capitalize on this market opportunity by leveraging a full technology stack that includes real-time software, advanced AI, Gen-3 satellites, and vertically integrated satellite production capabilities. While the quarter reflected anticipated impacts related to U.S. government budget uncertainty, we closed significant new contract awards and expect to remain on track to hit our full-year financial objectives. Strong international demand is outpacing the near-term U.S. government business, and as such, we are anticipating a strong Q4 and expect to take that momentum into 2026. Now let me share some recent highlights as shown on Slide 4. First, we were awarded more than $60 million in new contracts, primarily with international customers, as we continue to diversify our customer base and revenue mix. In addition, these contract wins are predominantly for the delivery of Gen-3 services, demonstrating the traction we are seeing for this capability around the world. We expect this momentum to continue as we move forward on the deployment of the Gen-3 constellation over the coming months. Second, we are pleased to have been awarded a contract valued at over $30 million to integrate Gen-3 high-cadence tactical ISR services into a strategic international defense customer secure environment. This contract demonstrates how BlackSky is accelerating sovereign space-based intelligence capabilities by leveraging proven commercial space technology to address their mission-critical requirements. Third, traction for our Gen-3 imagery continues to build as we expand the number of customers participating in our early access program, including a new seven-figure contract to commence delivery of Gen-3 imagery services to the U.S. government. We are starting to see contributions from Gen-3 imagery revenues and expect this trend to continue as we bring more Gen-3 capacity online. Fourth, we're seeing our AI and analytics solutions continue to gain traction across our customer base, including with NGA Luno, the global data marketplace, and with major international government programs. Fifth, our Gen-3 constellation continues to expand. Our latest satellite is at the launch site, and we're excited to get the satellite launched as we move forward in our plans to have a baseline Gen-3 commercial constellation fully operational next year. And finally, our cash balance increased more than 50% from last year following the successful raise we completed in July, bringing our total liquidity to over $200 million. Our stronger balance sheet and cash position puts us on a clear path toward free cash flow operations. These highlights underscore how our space, software, and AI capabilities are well positioned to provide customers with mission-critical intelligence that they rely on every day for their national security needs. I would now like to share some more details on the operational highlights from the quarter. Turning to Slide 5, as I highlighted a moment ago, we're seeing international demand for sovereign solutions continue to accelerate and, in the near term, is outpacing our U.S. government business. In fact, revenues from international customers now represent about half of our total revenues, driven by new contracts and expanded service agreements with a number of ministries of defense and organizations around the world. And we expect this trend to continue. We should also note that over 90% of our backlog is related to international contracts for Gen-3 capabilities. Countries around the world are accelerating their investments in space-based intelligence solutions in support of national security and economic development imperatives. This is driving a major shift and expansion of the market, which is being reflected in growing space-based defense budgets and sovereign investment funds. BlackSky is well positioned to capitalize on these market dynamics, as our vertically integrated technology enables us to accelerate an organization's space-based intelligence capabilities, leveraging proven and mature software, AI and satellite technologies. We are winning new contracts and building an expanded sales pipeline, as demand for our Gen-3 powered sovereign solutions continues to gain traction worldwide. Moving to Slide 6, we recently won a multi-year contract valued at over $30 million with a strategic international defense customer to integrate our Gen-3 high-cadence tactical ISR services into their secure operational environment. This expanded solution will enable BlackSky tasking and AI-enabled analytics services to operate seamlessly within the customer's workflows, delivering a new level of fully secure and autonomous operations. The tactical ISR services being delivered under this program feature high-frequency Gen-3 tasking combined with real-time AI enabled detection, identification and classification of tactical objects delivered through a low-latency architecture. This win marks a step forward in the operational deployment of our Gen-3 capabilities in support of delivering secure, real-time tactical ISR solutions for 24/7 time-dominant missions. Turning to Slide 7, we continue to win contracts and task orders on programs such as the Global Data Marketplace and NGA Luno program. In Q3, we received a seven-figure delivery order under the NGA Luno program, bringing our total orders won this year under this contract to about $30 million. This follow-on award leverages our proprietary computer vision algorithms and AI capability to automatically detect and identify areas of change caused by human activity. Our proven AI software is very effective in identifying anomalies, detecting infrastructure changes, and delivering alerts within minutes, giving defense analysts a crucial first to know advantage. Moving to Slide 8. We're seeing significant demand and growing traction for our Gen-3 imaging services as additional customers have signed up for early access agreements in Q3, including a new 7 figure contract with the U.S. government. The positive customer feedback we've received from early adopters confirms that Gen-3's very high-resolution imagery, combined with our AI-driven analytics, is delivering high-value intelligence at compelling performance for the class of this satellite. And we expect this momentum to continue as we build out the constellation. Turning to Slide 9. We're pleased that our next Gen-3 satellite has arrived at the launch site, and we anticipate its deployment in the coming weeks. Gen-3 satellites continue to move through our production line, and we will continue a cadence of launches to build out our constellation in 2026. The Gen-3 satellites on orbit are performing well and generating revenue. Moving to Slide 10. We believe the long-term opportunities with the U.S. government remain strong as many agencies are seeking to leverage mature commercial space technologies to advance national capabilities, especially missions that require proven technology to support proliferated low-Earth satellite constellations. We continue to make important progress across our U.S. government portfolio, including advanced R&D for capabilities like the integration of optical intersatellite crosslinks into our current and next-generation capabilities. Although we are experiencing near-term impacts of the fiscal year 2026 budget on the EOCL program, we are seeing congressional support to restore funding to the program. We expect to have better visibility once the final budget is approved. As the U.S. government expands its investments in space, we see opportunities for companies like BlackSky, who have proven agile space capabilities and tech stacks that can rapidly deploy technology to support cost-effective government programs. In particular, there are programs such as Golden Dome, where aggressive deployment schedules and non-traditional acquisition models favor proven commercial space capabilities. We have a strong track record of supporting these types of customers and feel we are well-positioned as these future opportunities unfold. Turning to Slide 11, we continue to make progress on our AROS initiative. Recall that AROS is a new satellite designed to provide wide area mapping, monitoring, and change detection to address an anticipated gap in these capabilities in the 2028 time frame. We continue to work through the design phase and engage potential customers and partners on the development of this constellation. We will have more to report as we progress on this program through 2026. With that, I will now turn it over to Henry to go through the financial results. Henry?
Henry Dubois: Thank you, Brian, and good morning, everyone. Starting with Slide 13, total revenue for the first nine months of 2025 was $71.4 million, consistent with the prior year period. While we were expecting imagery and analytics revenue growth in the third quarter of 2025, our revenue was negatively impacted in August and September by approximately $4 million due to reductions made in the EOCL contract. Our professional and engineering services revenue for the first 9 months of 2025 grew to $20.8 million, a 9% increase over the same period in the prior year. Let's now turn to Slide 14 and talk about cash operating expenses, which excludes stock-based compensation, depreciation, and amortization expenses. For the first 9 months of 2025, cash operating expenses were $56.6 million compared to $48 million in the prior year period. The year-over-year increase in cash operating expenses was driven by about $9 million of overhead expenses in 2025 from the integration of LeoStella. These costs would have been previously capitalized into our satellite assets and not included as operating expenses. Therefore, excluding the LeoStella overhead expenses, year-to-date 2025 cash operating expenses would have been in line with the prior year period, demonstrating the discipline we have in managing our costs while still making investments in our business. Moving to Slide 15. Our adjusted EBITDA for the first 9 months of 2025 was a loss of $7.9 million compared to an adjusted EBITDA of $4.3 million in the prior year period. The year-over-year decrease was primarily attributable to EOCL and LeoStella, as I've mentioned earlier. Excluding these two impacts, we would have reported a positive adjusted EBITDA of approximately $5 million for the first nine months of 2025. We remain committed to achieving adjusted EBITDA growth and margin expansion. Let's move on to our cash and liquidity position, as shown on Slide 16. We ended the third quarter of 2025 with $147.6 million of cash, restricted cash, and short-term investments, which is more than double our cash balance from a year ago. This amount includes $65.9 million in net cash proceeds from a convertible node offering and $10.8 million from the exercise of warrants, both completed in July. In addition to the cash, we also have $43.4 million in unbilled contract assets, of which $36 million is anticipated to be billed and received over the next 12 months. Together with a $13.5 million of available launch financing, this brings our total liquidity position to over $200 million. This position reflects an increase of $85 million or a 71% growth over the position we had in the third quarter of 2024 and provides BlackSky with sufficient cash to deploy our Gen-3 constellation, invest in strengthening our in-house AI capabilities, continue the design and development of our AROS program, and put this on a path to positive free cash flow. Turning to Slide 17, we are maintaining our guidance for full-year 2025 revenue, adjusted EBITDA and capital expenditures. We are maintaining the current range as we are actively working to close on a number of large sales opportunities that we expect will impact the fourth quarter. In summary, we are pleased with the momentum in our business, a growing sales pipeline, our strong cash and liquidity position. We look forward to a strong fourth quarter, high visibility growth in 2026 and continuing our path to free cash flow. With that, I will now turn it back over to Brian for some closing remarks. Brian?
Brian O’Toole: Thanks, Henry. In closing, we are pleased with the strong momentum in our business, and the growing demand for our space-based intelligence solutions. As we look ahead, we expect a strong finish to 2025, and significant high visibility growth in 2026. This visibility is anchored by a strong backlog of international contracts and a growing pipeline for our imagery and analytics services and sovereign solutions. Customers around the world are recognizing Gen-3's superior performance, especially at a time when they are seeking to accelerate their sovereign space-based intelligence capabilities. The opportunities ahead are significant and we remain confident in our ability to capitalize on the growing global market for our space-based intelligence solutions. This concludes our remarks for the call, and we'll now take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Edison Yu of Deutsche Bank.
Xin Yu: First, I wanted to check on the Gen-3 deployment cadence. Is that still progressing on the same kind of deployment number as you were previously looking for?
Brian O’Toole: Yes. As we mentioned, the next satellite is at the launch site, and we expect that to be deployed here in the coming weeks. We did find a faulty component in that satellite during final testing, so we experienced some delays, but it was non-systemic to the rest of the constellation, and so we fixed that, and we're moving forward. Obviously, there's some delays, but we're continuing on the plan that we outlined earlier.
Xin Yu: Understood. And I know you mentioned in the deck that next year will be fully operational. Can you just remind us, what does that mean? Exactly how many satellites does it have to be fully operational?
Brian O’Toole: As I mentioned before, our goal is to have at least 12 up by the end of next year.
Xin Yu: Understood. And then just, if I could sneak one in on the financials, the range for 4Q is quite wide. So, if we want to kind of take that as a jumping-off point, what are sort of the main factors in getting to the low end or the high end? Is the government shutdown hurting that? Just trying to get an understanding of what kind of the delta is text?
Brian O’Toole: Yes. I think, Edison, I think maybe first off, as you've seen in the past couple years, we've had -- tend to have really strong Q4 performance, and that's the case again this year. We are expecting a step up from contracts that we have in place and others that we expect to close shortly. The wide range really is just accounting for the timing of these deals. So, we're seeing a lot of momentum. We've got, as Henry outlined, a number of large deals that are in play right now, and the range reflects really just where we are in the timing of those.
Operator: Your next question is from the line of Jeff Van Rhee of Craig-Hallum.
Daniel Hibshman: This is Daniel Hibshman on for Jeff. Just maybe if you could talk through us a little bit on the early access agreements, just kind of where those are at, how those are progressing, those early access agreements for Gen-3, and then a little bit more about the steps you see need to take place to get those to a more significant revenue line, just if that's all about the size of the fleet you're deploying or about the customer's internal processes or about them getting budget in place, just how those will progress and the steps to get there.
Brian O’Toole: Yes, the early access program is progressing really well. The way that is playing out is we have customers that are coming online with six-figure type early access agreements to basically test and evaluate Gen-3 performance in their operations. What we're seeing is a couple things. One is we're adding more of those types of agreements as we are still early in the deployment of Gen-3, but we're also seeing an acceleration of some of those transitioning to longer-term, much larger contracts. And then finally, just as a reminder, as I indicated in our backlog, there's already pretty significant Gen-3 services in our backlog as we continue to deploy the constellation. So, all in all, we're very pleased at the momentum we have with bringing on new customers, their evaluation and our visibility into transitioning those customers into long-term subscription revenue.
Daniel Hibshman: And then to be clear on the $4 million of impact from EOCL for August and September, is that significant enough that, just to be clear, is that a total pause on the program right now, or is that just a significant reduction?
Brian O’Toole: It's not a pause, and I'm not sure I would deem it a significant reduction at this point. The government made some adjustments to our contract to reflect the potential baseline budget that was submitted by the administration for fiscal year '26. But keep in mind the budget is not final and we have seen marks from multiple committees to restore funding to the EOCL line in the budget. But we won't really know until the budget is finalized. These reductions that we're experiencing, were set to carry into Q2 of next year, which would align with timing of a CR and a final fiscal year '26 budget.
Daniel Hibshman: Okay. That's helpful. And then maybe just on satellite sales slash dedicated capacity, however you think about it, but those deals that you got with Indonesia and India in terms of dedicated Gen-3 capacity, if you could talk to us a little, I mean, those are large kinds of opportunities. Talk to us a little bit about the pipeline for those kinds of opportunities and how go to market is progressing or evolving in that area?
Brian O’Toole: Yes, I would say, as I mentioned in my remarks, the demand for those types of solutions is growing very rapidly. We have a significantly growing pipeline for those types of arrangements. I think what we're also seeing is building on the success of Gen-3. The interest is increasing as we're demonstrating significant performance for this class of satellite, both in terms of image quality and economics. So we see as we continue to deploy Gen-3 and also demonstrate Gen-3's performance with our AI capabilities that these types of opportunities will continue to expand and will begin to continue to capture more contracts that were similar to what we announced in India and Indonesia.
Operator: Your next question comes from the line of Timothy Horan of Oppenheimer.
Timothy Horan: Can you just give us the number, how many satellites did you actually have in operation at the end of the quarter? And what are you expecting here by the end of the year? And if you can give us a rough guess on the first quarter, it would be helpful.
Brian O’Toole: Right now, we have 2 Gen-3s and 11 Gen-2s. So we've got 13 satellites on orbit. As I mentioned, we have another satellite at the launch pad and another one coming out of production later this year. So the Gen-2s that we have up on orbit are continuing to perform well. They'll carry well into next year, not longer. And the early Gen-3s that we have are performing well as well. So we'll just continue a regular cadence of Gen-3 launches going into '26.
Timothy Horan: So you think about two per quarter is still a relatively good guide?
Brian O’Toole: That's a reasonable assumption. Keep in mind we have to deal with timing of launches and those types of things, which are normal course.
Timothy Horan: And the Gen-2s, how much longer, what's the cadence of them coming down?
Brian O’Toole: As I mentioned, those were deployed in sequence. And so we expect at least half of the satellites up there will still be in service by the end of next year.
Timothy Horan: Okay. Got it. And then professional engineering services were very strong in the fourth quarter last year. So, should we assume a kind of a similar rebound this year? And I guess somewhat related to that, too, like Indonesia and India contracts, when do they start kicking in and where does that revenue kind of show up in the line item space?
Brian O’Toole: You can expect a similar type of trend that you saw last year in Q4 with respect to Indonesia and the India contracts. We're recognizing revenue as those programs progress. So that's kind of a smooth ramping of revenue from those programs.
Timothy Horan: Got it. Very helpful. And so what do you assume for the government budget? Fourth quarter guide and going into next year and your guide for the fourth quarter?
Brian O’Toole: Yes, as I mentioned or responded in the prior question, we -- the EOCL program in particular has been set at the levels that it are at now through Q2 of next year and that's what we expect in our planning for Q4 and into the early half of next year.
Timothy Horan: Very helpful. And just last, I know you kind of mentioned on it. And so on that point on EOCL, so there could be upside if the budget is approved to the trends, I mean, would you expect if the budget is approved, there could be a step up there?
Brian O’Toole: There could be. As I mentioned, we're seeing positive uh activity out of Congress in the marks to this budget to restore the funding. We think that could be a positive upside next year, but we'll have to wait and see what actually comes out in the budget.
Timothy Horan: And I think you said international is half the revenues. Can you say what that was a year ago?
Brian O’Toole: I think a year ago it was 60% to 75% -- U.S. government was 60% to 75%.
Timothy Horan: So 60-40?
Brian O’Toole: 60-40, yes.
Timothy Horan: Got it. Got it. And then lastly, I know you kind of touched on it also. how is the pipeline looking now? I guess, qualitatively, maybe just not quantitatively. Are you talking to a large increase of new customers? And are these customers willing to spend much -- well, can you charge them much more per image than you had kind of historically?
Brian O’Toole: Yes. The quality of the pipeline is excellent, types of customers that we're engaged with and then the scope of services that range from long-term Gen 3 subscription services to these types of sovereign programs that we're successfully executing on in places like India and Indonesia. So I'll say both quantitatively and qualitatively, we're very pleased with where the pipeline is and how it's growing.
Operator: The next question is from the line of Austin Moeller of Canaccord Genuity.
Austin Moeller: Just my first question here. Does the shutdown affect the timing of government customers being able to use the early access program for Gen-3?
Brian O’Toole: Not affected at all as we mentioned, we closed a 7 figure contract recently for the government to begin accessing Gen-3. So that's moving ahead.
Austin Moeller: Okay. And you've already done this with some customers, but how do you think about the TAM opportunity for building and operating exclusive remote sensing satellites for them as a service versus building the satellites for your own fleet and then providing customers with access to a Spectra subscription?
Brian O’Toole: I think we're seeing pretty strong demand for both. There's really a couple different models. One is where customers want to the satellites, but we fly them for them using our Spectra platform and ground network. And that is a form of a sovereign capability. And then there's another variant where it's fully owned and operated and run within a customer's environment. And then you have a hybrid approach where customers are buying satellites from us through one of those first 2 models, but also bundling and subscription access to our Gen-3 commercial constellation. So we're finding that what customers are finding attractive is they get the benefit of a sovereign capability very quickly, that we can pull satellites and deploy software that already exists. And then they get the benefit of our commercial constellation, which is providing very high-frequency monitoring capability. Our -- we see the bundling of this as being a pretty exciting opportunity for us.
Operator: And your next question is from the line of Greg Burns of Sidoti.
Gregory Burns: Can you just talk about maybe some of the non-government opportunities? I know you announced an expansion of a contract for non-earth imaging. How much of an opportunity are incremental services like that for you, and how should we think about maybe some of the commercial opportunities for the business to find growth outside of the government marketplace?
Brian O’Toole: Yes, I think we're continuing to see traction on our non-Earth imaging capability. We just renewed a 7 figure contract, subscription contract for that. I think relative to commercial, we'll look to see that starting to expand later next year as we get our baseline constellation deployed and are able to service those types of customers with a high frequency Gen-3 capability. But for now, we're staying highly focused on this opportunity in the U.S. and international government sector.
Gregory Burns: Okay. And then just, in terms of the guidance, I know you maintain the ranges, but should we be thinking about you coming in towards the low end of those ranges? I mean are the top end still feasible? Or is it -- how should we think about that just because it implies a pretty significant step-up in the fourth quarter?
Brian O’Toole: It does. And as I said this is pretty consistent in the way that we. performed in the fourth quarter over the past couple years. We are expecting a major step up in contracts that we already have in place. You've seen some of the announcements and then we are working a number of fairly large contracts right now that we expect to close shortly. The wide range really is accounting for the timing of these deals. So that's why we're maintaining that range at this point.
Gregory Burns: Okay. And are the step-ups tied to the Gen-3 satellites? You need to launch, like, is that -- the trigger like the Gen-3 up in orbit?
Brian O’Toole: No, I don't believe any of the deals that we have in play right now are relying on us to launch satellites in the coming months.
Operator: [Operator Instructions] And your next question is from the line of Dave Storms of Stonegate.
David Storms: Just want to start by asking if you could give us a little more detail on the sales that you're expecting in the 4Q that will get to the guidance. Is that expected to continue to be primarily international? Is there any Gen-3 versus Gen-2 components? Any more detail on that would be great.
Brian O’Toole: Yes, I think primarily, these are international deals. We are seeing -- we have a number of opportunities in the U.S. government that are in -- that are active right now, but that's been slowed due to the shutdown. But the range that we're talking about is primarily tied to international contracts.
David Storms: Perfect. And just thinking about those international contracts, should we expect -- if your backlog right now is about 90-10 international versus domestic, historically, revenues have been 40-60 international versus domestic. Where do you think that normalizes out on a revenue level? Do you think it shakes out to more 50-50 in the near future? Or do you think international continues to grow proportionately?
Brian O’Toole: Well, now we're about 50-50 coming out of the third quarter. From what we can see in our backlog and the pipeline, we're expecting the international to continue its growth in that trend, and '26 will likely outpace the contribution from the U.S. government.
David Storms: Understood. Appreciate that. And then just one more, if I could. Thinking about the software side of Gen 3, what are you seeing in terms of attracting and retaining AI talent as you continue to put these satellites up in the air?
Brian O’Toole: Yes. We've been very successful in attracting AI talent. Dave, as you know, we've been investing in our AI capabilities, infrastructure, training and model development and deployment in real-time environments now for 10 years. And we built a proprietary capability that's a competitive advantage. And you can see that playing out as we're winning -- we're successfully winning contracts based on that capability at a point when we see others just outsourcing their AI to third-party platforms. So we feel that when you combine this proprietary AI, which is very high performance in real time with the satellite constellation, it's a really significant differentiator in the market, and we're bundling those things together, and we're getting very positive response from customers for that capability.
Operator: And your next question is from the line of Caleb Henry of Quilty Space.
Caleb Henry: First one is, can you talk about how the average contract value for Gen-3 compares to Gen-2? And are you seeing -- I assume because of the international mix, new customers? Or are we talking about existing customers upgrading more so?
Brian O’Toole: Yes, I think what we're experiencing is we're seeing open the contracts for winning and the deals that are in our pipeline is a pretty market step up in the overall contract values, both in terms of the size of the contracts and the duration. They're all turning to be much larger and multi-year type arrangement. So -- and we're -- I think, again, Gen 2 was an exceptional capability to demonstrate the performance of a high-frequency constellation. Now when you bring in very high resolution with the type of AI with a satellite of this performance and economics, the attractiveness of that is being reflected in the pipeline and the structure of these deals.
Caleb Henry: Can you talk about how revenue recognition compares for international customers versus U.S. government? Is that something that's roughly at the same speed? Or is that faster or slower with different compliance requirements?
Brian O’Toole: I don't think there's a difference between U.S. and international. It's just dependent on the structure of the contract. Imagery tends to be very stable as a subscription. And then we've always had these other projects under our professional engineering and services line that tend to be milestone driven. But I don't know, Henry, do you want to comment on that?
Henry Dubois: Yes. I mean whether it's an international contract or U.S. government, it's imagery and analytics revenues tend to be subscription-based so kind of smooth and easy to predict. The professional engineering services, as Brian said, they tend to be more milestone and lumpier. And those tend to be more internationally focused.
Caleb Henry: And then how are you thinking about leverage? And what do you have in terms of a midterm target there?
Henry Dubois: Tyler, I mean, we just raised the convertible notes, and we're quite comfortable with the liquidity that we have on the books at the moment. So I think we're in a pretty good position at the moment.
Operator: And at this time, there are no further questions. This does conclude BlackSky's third quarter 2025 earnings conference call. Thank you for joining the call today.